Chase Mulvehill - VP, IR:
Lorenzo Simonelli - Chairman & CEO:
Nancy Buese - CFO:
Arun Jayaram - JPMorgan Securities:
David Anderson - Barclays:
Saurabh Pant - Bank of America:
Stephen Gengaro - Stifel:
Neil Mehta - Goldman Sachs & Co.:
Scott Gruber - Citigroup:
Kurt Hallead - Benchmark:
Operator: Good day, ladies and gentlemen, and welcome to the Baker Hughes Company Fourth Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session, and instructions will follow at that time. As a reminder, this conference is being recorded. I would now like to introduce your host for today's conference, Mr. Chase Mulvehill, Vice President, Investor Relations. You may begin.
Chase Mulvehill: Thank you. Good morning, everyone, and welcome to Baker Hughes fourth quarter and full-year earnings conference call. Here with me are our Chairman and CEO, Lorenzo Simonelli, and our CFO, Nancy Buese. The earnings release we issued yesterday evening can be found on our website at bakerhughes.com. We will also be using a presentation with our prepared remarks during this webcast, which can be found on our investor website. As a reminder, during this conference call, we will provide forward-looking statements. These statements are not guarantees of future performance and involve a number of risk and assumptions. Please review our SEC filings and website for the factors that could cause actual results to differ materially. Reconciliations of operating income and other GAAP to non-GAAP measures can be found in our earnings release. With that, I will turn the call over to Lorenzo.
Lorenzo Simonelli: Thank you, Chase. Good morning, everyone, and thanks for joining us. Starting on Slide 4, we're very pleased with our strong fourth quarter results, exceeding the midpoint of our EBITDA guidance for the eighth consecutive quarter and setting new quarterly and annual records for revenue, free cash flow, and our adjusted measures of EPS, EBITDA, and EBITDA margin. Our adjusted earnings per share remains on an impressive growth trajectory, increasing 37% from the fourth quarter of 2023 and up 47% for the full year. For the fourth quarter, company adjusted EBITDA margins increased by 1.8 percentage points year-on-year to a record of 17.8%. Significant margin expansion across both segments drove this exceptional performance. Industrial and energy technology orders remained at strong levels during 2024, including $3.8 billion in the fourth quarter that drove the annual total above the midpoint of our guidance range. This order performance highlights the end market diversity and versatility of our technologies, led by strength in gas infrastructure and FPSOs. Accordingly, Gas Tech Equipment's non-LNG orders more than doubled, totaling $3.6 billion. We achieved another important milestone in booking new energy orders of $1.3 billion. This represents approximately 70% year-over-year growth for the new energy awards and the third consecutive year, we have exceeded the high end of our original guidance range. We generated strong free cash flow of $894 million during the quarter, resulting in record annual free cash flow of $2.3 billion. This represents a free cash flow conversion rate of 49% near the high end of our 45% to 50% target range. These record results clearly demonstrate that we are the leading energy and industrial technology company. Turning to Slide 5, we want to highlight recent awards and technology developments. As I mentioned, 2024 was another strong year for IET orders, booking several large-scale GTE awards that span across gas infrastructure, FPSOs, and LNG. This is the third consecutive year that GTE has booked more than $5 billion of orders. In the fourth quarter, we secured orders for multiple LNG projects, bringing total LNG equipment bookings to almost $2.1 billion for 2024. We received an order from Venture Global to provide modularized LNG systems and a power island. Additionally, we received an award from Bechtel for the first phase of Woodside Energy's Louisiana LNG project. This phase will include two Baker Hughes liquefaction compression trains with a capacity of 11 MTPA. The gas infrastructure buildout in the Kingdom of Saudi Arabia continues to gather pace, following our Master Gas System Free Award in early 2024. During the fourth quarter, we booked an award for gas compression equipment for the third expansion phase of the Jafurah gas field. We will supply a total of 12 electric motor-driven compression trains and auxiliary treatment equipment in this unconventional gas field. In total, we have now been awarded 24 electric motor-driven compressors and an additional 14 compressors for this strategically important gas field. In gas technology services, we secured over $1 billion of long-term service agreements for the second consecutive year. In the fourth quarter, we signed a long-term service frame agreement with Venture Global to support Phase 1 and 2 of their Plaquemines LNG facility in Louisiana. Additionally, GTS was awarded a 25-year services agreement to support next decade's Rio Grande LNG facility in Texas. We were also awarded a contract to provide plant maintenance at a major LNG facility in Asia Pacific, which will leverage IET's iCenter. In addition to booking several meaningful long-term service awards, GTS recorded the strongest quarter of equipment upgrades since 2020. This included a key project to upgrade the Monsanto Compression Station for Snam, one of Europe's leading midstream companies. During the quarter, IET's Climate Technology Solutions secured multiple awards targeting flare reduction. As announced at COP29, CTS will provide SOCAR with an integrated gas recovery and hydrogen sulfide removal system to significantly reduce downstream flaring at the Heydar Aliyev Oil Refinery. Separately, in the Middle East, CTS will supply electric-driven centrifugal compressors for one of the largest gas processing and flare gas recovery projects globally. In Oilfield Services & Equipment, we continue to experience strong auto momentum in Brazil, particularly for our differentiated flexible pipe technology. During the quarter, we received a significant award from Petrobras for 48 miles of flexibles to be delivered across four fields. This follows the third quarter award for 43 miles of flexible for the Santos Basin and takes our total year orders for flexible pipe to $1.4 billion, a record year for this business. In mature asset solutions, we received a multi-year contract from ENI to unlock bypass reserves in one of Europe's largest developments. Baker Hughes will provide its auto-track exact rotary steerable drilling system, which will be deployed to help ENI lower risk and execution costs. We continue to see solid order momentum in the Middle East, receiving multiple awards across the region for coil tubing services as well as drilling and completion fluids. We also booked an award from a major operator to provide artificial lift services in Iraq, which includes advanced permanent magnet motors for improved electric submersible pump efficiency. In Abu Dhabi, we signed an agreement with AIQ, ADNOC, and CORVA to launch the AI Rate of Penetration Optimization project. This innovation, which utilizes the latest AI digital technology, enhances drilling efficiency in real time by providing insights and recommendations for optimizing weight on bit, rotations per minute, and other critical parameters. Driving innovation and expanding our manufacturing footprint in key growth markets are critical to the long-term success of our company. During the quarter, we expanded our footprint in Namibia and Oman. We also had the grand opening of our recently relocated surface pressure control headquarters in Abu Dhabi, ensuring that we are close to key customers in a major demand region. Turning to the next slide, as we enter 2025, we believe Baker Hughes is very well positioned to thrive in the back half of the decade, with a number of positive tailwinds that will continue to drive demand for our technology and solutions. On the macro front, the U.S. economy has remained resilient in the face of higher interest rate environment, while the European and Chinese economies have struggled to stimulate growth. Looking at 2025, the global economy will be navigating a number of economic and geopolitical uncertainties, which could result in another year of uneven global economic growth. Against this economic backdrop, we have seen increasingly positive trends for power consumption. Boosted by this encouraging development, we believe that natural gas and LNG demand will demonstrate accelerated growth, which will drive increasing demand for our gas levered products and solutions in both OFSE and IET. According to Wood Mackenzie, demand for U.S. natural gas is set to increase by approximately 20 BCF per day, or 18% by 2030, led by a continued increase in gas requirements for new LNG facilities and data centers. For LNG, we still expect 100 MTPA of FIDs between 2024 and 2026, a level that would increase global capacity to our longstanding forecast of 800 MTPA by 2030. Last year, there were 17 MTPA of project FIDs. Accordingly, we anticipate more than 80 MTPA of FIDs in ‘25 and 2026. Our strong FID outlook is supported by a record year of offtake contracting last year, which totaled 92 MTPA and exceeded the prior record of 84 MTPA set in 2022. We also expect demand to remain robust for gas infrastructure projects. This follows a very strong 2024 when we booked MGS3 and Jafurah in Saudi Arabia, Hassi R'Mel in Algeria, and the Margham Gas Storage Facility in Dubai. While we may not see the same level of large-scale projects in 2025, we are in active conversations on several pipeline expansion projects across the Middle East, Africa, North America, and Latin America. Turning to our new energy outlook, we see energy efficiency and decarbonization technologies playing an increasing role in achieving net zero goals. Looking forward, we are targeting $1.4 billion to $1.6 billions of new energy orders in 2025. While some near-term policy uncertainty across several clean technology areas exist in the United States, we remain confident in achieving our 2030 orders target of $6 billion to $7 billion. Our pipeline of project opportunities, both domestically and internationally, continues to grow. Further, we are very excited about the potential of new technologies under development, like net power and our direct air capture solution Mosaic. These technologies will help and enable a sustainable energy development plan that provides affordable, more secure, low-emissive energy in the future. Turning to oil markets, there are several factors that could drive further volatility in oil prices. On the supply side, we see production slightly increasing in North America, adding to significant growth in offshore volumes. The demand outlook has an element of uncertainty given the potential for U.S. tariffs, which would likely dampen growth in key oil-consuming countries like China, where persistent structural imbalances still weigh on the economy. Ultimately, the oil price path will be highly dependent on the pace and magnitude at which OPEC+ production cuts are reversed in 2025. In line with this backdrop and changing activity trends by major EMP operators, we expect global upstream spending to be down slightly in 2025. In North America, we anticipate spending to decrease year-on-year in the mid-single-digit range, as many operators remain focused on capital discipline and look to optimize their newly consolidated acreage. Given our production-weighted portfolio mix in North America, we expect to outperform the market. In international markets, we expect spending to be flat to down year-on-year. The prospect of an oversupplied oil market, uncertainty in Mexico and Saudi Arabia, and shifting focus to gas are all leading to reduced activity levels in some of the key international markets. This will be somewhat offset by bright spots of activity in Brazil, the Middle East outside of Saudi Arabia, and Sub-Sahara in Africa, but ultimately not enough to drive growth from 2024 levels. In offshore, we continue to see a consistent stream of development projects for the next several years, translating in a steady outlook for subsea trees and FPSOs. In 2025, we expect SSPS orders to be up materially, led by strong subsea tree order flow, as several projects for key customers are anticipated to reach FID. Turning to Slide 7, we want to continue the discussion around our lifecycle business in gas technology. A key value-creating attribute of our IET segment that is consistent with high-quality industrial businesses. Over the past three years, we have booked more than $19 billion of equipment orders that will drive a 20% increase in our serviceable installed base by 2030. We expect Gas Tech Services revenue to outpace this installed base growth due to pricing, mix, upgrades, and digital enhancements. We see strong demand across the gas turbine market. Market forecasts suggest the pace of gas turbine installations could double to around 100 gigawatts per year out beyond the end of the decade. The major driver of this growth will be the rapid expansion of data center capacity required to meet increasing generative AI workloads. When combined with an already tight supply chain and material cost inflation, this environment provides a tailwind for pricing. We also expect our serviceable LNG installed base to increase by over 50% through 2030, outpacing the overall 20% growth rate. This mix shift towards LNG installed units is important as these projects have the highest attachment rates across all of our aftermarket services. Another benefit of our large and growing installed base is the opportunity to provide performance enhancement through upgrades as equipment ages. In recent years, customers focused on maximizing equipment uptime as markets manage through the energy crisis. However, as we move into a more stable energy environment and gas gains fervor acceptance as a destination fuel, we expect upgrades to demonstrate strong growth over the coming years. We have a range of upgrade technology solutions that can drive lower emissions, lower energy consumption, increase power output, and produce higher throughput yield. In addition, we are excited about new upgrade technologies that we are introducing into the market, a direct result of our R&D investment and innovation pipeline. We believe new upgrade technologies that enhance aging equipment have the potential to generate hundreds of millions of dollars of orders at accretive margins by 2030. In addition to equipment upgrades, we are enhancing our customers' plant performance and emissions abatement through the development of advanced service solutions. We are leveraging our 24/7 eye center monitoring capabilities, more than 20 years of monitoring and diagnostic data, the latest in generative AI capabilities, and our Cordant platform to create digital solutions that help our customers optimize their total cost of equipment ownership. On the back of increasing customer acceptance and enhanced digital product offerings, GTS digital orders increased by approximately 60% this year, with over 1,800 units connected at the end of 2024. Looking forward, we expect GTS digital orders to double by 2026 and continue this strong growth trajectory thereafter. In summary, we have four discreet and tangible revenue growth accelerators that will benefit Gas Tech Services. Alongside an increasing installed base, this gives us confidence that we can structurally grow our high margin GTS business for the next decade and beyond. Before turning the call over to Nancy, I would like to again emphasize the strength of our 2024 results. We face some near-term market headwinds with the maximum sustainable capacity MSC reduction in Saudi Arabia and the LNG moratorium in the United States, yet we still exceeded the midpoint for orders and the high end of our EBITDA compared to our original guidance ranges. Our company is clearly delivering results, evidenced by another record year. We expect this momentum to continue, with EBITDA to demonstrate another year of strong growth in 2025. And as we embark on our continued journey, we are excited about the opportunities to further expand the versatility and breadth of our technology portfolio, as well as drive segment margins beyond our 20% target. With that, I will turn the call over to Nancy.
Nancy Buese: Thanks, Lorenzo. I will begin on Slide 9, with an overview of our consolidated results and then speak to segment details before summarizing our first quarter and full year outlook. We demonstrated another year of strong progress during 2024. For the full year, orders totaled $28.2 billion, including $13 billion of IET orders that marks the second highest order total for the segment. Technology versatility and differentiation of IET's portfolio continued to support a strong order book and near record levels of RPO. We generated total adjusted EBITDA of $4.6 billion, increasing over 20% and setting a record for the second consecutive year. Adjusted EBITDA margins increased 1.7 percentage points to 16.5%, marking the fourth consecutive year of margin expansion for the company. Adjusted diluted EPS for the year increased by 47% to $2.35. In addition to our strong operating results, EPS benefited from our effective tax rate declining by approximately 5 percentage points to 28%, adding $0.17 to EPS for the year. Free cash flow totaled $2.3 billion, which represented a free cash flow conversion of a 49% near the high end of our targeted range. Turning to our fourth quarter results. As Lorenzo mentioned, we delivered a very strong quarter for orders with total company orders of $7.5 billion, including $3.8 billion from IET. Adjusted EBITDA increased by 20% year on year to $1.31 billion, driven by continued strong IET revenue growth and exceptional margin performance across both segments. We are delivering on our commitments and we remain focused on meeting our margin targets. GAAP operating income was $665 million. Adjusted operating income was $1.02 billion. GAAP diluted earnings per share were $1.18. Excluding adjusting items, earnings per share were $0.70, an increase of 37% when compared to the same quarter last year. Excluded from adjusted diluted earnings per share was a net benefit of $0.48 related to unrealized gains on certain equity investments and the release of valuation allowances for certain deferred tax assets, partially offset by restructuring and other charges. The valuation allowance release reflects our growing pattern of profitability over recent years, alongside our confidence for continued profit growth into the future. Restructuring charges primarily relate to streamlining of our OFSE operating model and right-sizing our workforce to match forecasted activity levels. We generated free cash flow of $894 million for the quarter, supported by a strong quarter of collections. Turning to capital allocation on Slide 10. Our balance sheet remains strong, ending the fourth quarter with cash of $3.4 billion, net debt to EBITDA ratio of 0.6 times and liquidity of $6.4 billion. In 2024, we have returned $1.3 billion in dividends and share repurchases, amounting to approximately 60% of free cash flow. We remain committed to returning 60% to 80% of free cash flow to shareholders. Turning to the next slide, I want to highlight our steadily growing dividend, strong earnings growth and improving return on invested capital. We have demonstrated robust growth and earnings per share over the past three years, increasing by a 37% compound annual growth rate over this period. Moving to our dividend, we announced a 10% increase yesterday. This marks the fourth consecutive year that we've raised our dividend, increasing by 28% since the third quarter of 2022. This consistent dividend growth demonstrates our confidence and the durability and momentum of the company's earnings and free cash flow, a quality we share with our industrial peers. Looking forward, I believe we're uniquely positioned to continue increasing the dividend, consistently buyback shares, and retain the financial flexibility to pursue opportunities that will enhance our growth capabilities. We are demonstrating solid progress in enhancing the company's returns profile, driven by our capital efficient growth and significant margin expansion achieved over the last two years. For 2024, IET ROIC of 25% exceeded our 20% target one year early. In OFSC, ROIC continues to make steady progress towards our 15% target, increasing to 13% for 2024. We expect both segment returns to further increase in 2025 and beyond as our focus remains on capital efficient, profitable growth. Now I will highlight the results for both segments, starting with industrial and energy technology on Slide 12. During the quarter, we booked strong IET orders of $3.8 billion, primarily driven by LNG awards and further gas infrastructure order momentum. For the full year, IET secured $13 billion of orders with a book-to-bill of 1.1 times, resulting in near record RPO levels of $30.1 billion at year end. Our fourth quarter results reflect a strong increase in IET EBITDA, up 38% year-over-year due to another strong quarter of revenue growth in Gas Technology for both Equipment and Services and significant margin expansion. For the full year, IET EBITDA approached $2.1 billion, setting a record for the second consecutive year as revenue reached a new high and margin reclaim prior peak levels. This was mostly driven by significant margin improvements in both Industrial Solutions and Gas Tech Equipment, with the latter benefiting from operational enhancements and conversion of higher price backlog. Turning to Oilfield Services & Equipment on Slide 13. We booked strong orders and flexibles during the quarter, which drove SSPS orders of $802 million and resulted in full year orders of $3.1 billion. OFSE EBITDA margin continues to outperform the segment's revenue performance, supporting solid fourth quarter EBITDA of $755 million. Full year EBITDA increased by 11% to approximately $2.9 billion, driven by margin that expanded 1.5 percentage points to 18.4%. Turning to Slide 14. I want to provide additional highlights on the significant progress we are making in driving structural margin improvement. We are executing several projects to streamline activities, remove duplication and modernize management systems. This is improving clarity, transparency and the pace of decision-making, enable our teams to work smarter and drive costs structurally lower. We continue to enhance our supply chain across the enterprise. Our best value country spend increased 15% year-on-year in 2024. Typically, we see over 20% cost savings when we move volumes from higher-cost regions to best value countries. Going forward, we're focused on sourcing a larger volume of materials from these countries. In IET, we are seeing the benefits of lean strategies being adopted across our operations. The team has initiated over 120 large problem-solving kaizen projects this year alone, involving over 1,300 employees across all functions. Our GTE team has been applying lean to its execution model, focusing on improving throughput efficiency. Through multiple kaizens, the team has driven a 40% increase in GTE volumes within our existing manufacturing footprint to support growing demand. This has enabled us to gain share in key markets due to our speed to deliver on customers' needs. In Industrial Tech, we have levered kaizens to improve lead times on Cordant's flagship product, Orbit 60. Lean adoption and manufacturing processes helped develop a new layout of the assembly line, reducing lead times by 50% and more than doubling effective capacity. In OFSE, a great example of the progress we have made is the improved performance of SSPS. EBITDA margins have increased significantly over the last two years with SSPS margins more than doubling into the mid-teens last year. This has been driven by refocusing our commercial model, rightsizing our capacity and improving our execution. For the overall OFSE segment, we continue to transform the business. In 2024, the focus was centralizing the business operations, leading to a significant reduction in duplication across our regions and product and service lines. The focus now is to drive consistency and operational excellence across the new business structure. These activities are centered on enhancing commercial intensity and optimizing operational efficiency. In line with this, we are matching our structure to anticipated activity levels. These actions, along with the implementation of our streamlined operating model will be key drivers to achieve our OFSE margin target. We are making significant progress on our transformation journey, yet have additional opportunities to enhance efficiency, productivity and ultimately, margins. Our strategy is clear, and we are taking further action in 2025. We have cultivated an organizational culture focused on continued margin improvement, and we see 20% margin targets as milestones on our journey towards best-in-class margins. Next, I would like to update you on our outlook. The details of first quarter and full year 2025 guidance can be found on Slide 15. The ranges for revenue, EBITDA and D&A are shown on this slide, and I will focus on the midpoint of our guidance. Starting with the full year, we expect total company revenue of approximately $27.75 billion and EBITDA of $4.95 billion. We are also targeting free cash flow conversion of 45% to 50% relative to our annual EBITDA. We expect an effective tax rate in the range of 25% to 30%, with a strategic plan in place to further optimize our tax rate beyond 2025. We expect IET orders to remain at robust levels this year with LNG momentum returning to the market, while gas infrastructure and energy production order strength continues. Given the strong environment, we expect IET orders of $12.5 billion to $14.5 billion. At the midpoint, this would mark the third consecutive year of at least $13 billion of IET orders. This not only provides strong backlog support for our equipment business into 2027, but will provide years, if not decades, of growth for our high-margin aftermarket service businesses. As a result of this continued momentum and strong orders performance over the last two years, we expect full year IET revenue of $12.75 billion and EBITDA of $2.3 billion. For OFSE, we forecast full year revenue of $15 billion, down slightly year-on-year as a result of softening oilfield service market in North America and lower SSPS revenues. Importantly, we still expect EBITDA to increase to $3 billion. We have been proactively positioning our OFSE portfolio to remain resilient in a maturing upstream spending cycle. Now turning to first quarter guidance. We expect revenues of $6.5 billion and total EBITDA of approximately $1.02 billion. For IET, we expect first quarter results to demonstrate strong year-over-year EBITDA growth led by GTE. Overall, we expect IET EBITDA of $460 million. The major factors driving this range will be the pace of backlog conversion in GTE, the impact of any aero derivative supply chain tightness and gas technology, operational execution in industrial technology and CTS and material changes in foreign exchange. For OFSE, we expect first quarter results to reflect a more pronounced seasonal decline for international OFS and SSPS. Accordingly, we expect EBITDA of $645 million. Factors driving the range include the SSPS backlog conversion, activity levels in Saudi Arabia and Mexico and winter weather in the Northern Hemisphere. In summary, we are extremely pleased with the operational performance of the company during 2024. The fourth quarter marks the third consecutive quarter of record EBITDA and the second consecutive quarter of record EBITDA margin. These are clear indicators that our transformation is working. The entire organization is committed to structurally improving margins and capitalizing on market opportunities with our differentiated portfolio of solutions. Both are key drivers in our journey to further increase shareholder value. We are proud of the progress the company is making, and we are excited about the future of Baker Hughes. I'll turn the call back to Lorenzo.
Lorenzo Simonelli: Thank you, Nancy. As you can see from our strong 2024 results and the exceptional margin improvement illustrated on Slide 17, we have evolved into a much more profitable energy and industrial technology company. At the midpoint of our 2025 guidance, Baker Hughes' EBITDA margin will have increased by more than 6 percentage points over the past five years. Additionally, EBITDA has more than doubled over this same period. Looking at 2025 and beyond. Our balance sheet remains strong. Our strategy is clear, and we see a differentiated growth opportunity for Baker Hughes. Markets are evolving, and this aligns with our vision of the energy technology ecosystem. The need for more energy with fewer emissions is critical and the increased use of natural gas will be fundamental to achieving this objective. Our strong market positioning across natural gas, LNG and gas infrastructure, new energy and mature fields provides multiple growth vectors across our portfolio. This will be accompanied by emerging opportunities for distributed power solutions and new industrial markets. We have a unique broad technology portfolio that will drive growth through the remainder of the decade, irrespective of the pace of the energy transition. Given this balanced portfolio untapped market opportunities, significant recurring IET service revenue and our more efficient cost structure, Baker Hughes is becoming less cyclical in nature and will generate more durable earnings and free cash flow across cycles. To conclude, I'd like to thank the Baker Hughes team for yet again delivering outstanding results. As we continue our journey to propel Baker Hughes forward, we remain committed to our customers, shareholders and employees. With that, I'll turn the call back over to Chase.
Chase Mulvehill: Operator, we can open up for questions.
Operator: [Operator Instructions] Our first question comes from the line of Arun Jayaram with JPMorgan Securities. Your line is open, please go ahead.
Arun Jayaram: Yes, good morning. Lorenzo, I wanted to dig a little bit deeper on your 2025 IET order outlook. You guided to $13.5 billion of inbound orders at the midpoint. Can you discuss some of the puts and takes as well as the overall macro picture for orders between some of the sub-segments, LNG, OOP, gas infrastructure? And do you think you can reach that $5 billion threshold for Gas Tech orders that you've been running at for several years now?
Lorenzo Simonelli: Yes, hi Arun. Thanks. And yes, clearly, we've had a before past few years. And when you look at the amount of bookings, we've actually booked $40 billion of IET orders over the past three years, which obviously, is a history exceeding the past. And in 2024, we booked $13 billion, the second highest order year in the company's history. And I think it's important to recognize that, that was even with the U.S. LNG permitting moratorium. And in 2024, we had a 65% decline in our LNG orders versus 2023. And we do see this continued strength continuing in 2025. And I think as we look at gas infrastructure, we're going to have continued strong demand in gas pipelines, gas processing 2025, we're going to see LNG come back. And obviously, LNG orders increasing over 2024. And when we booked 2.1, we've got about 80 MTPA that's going to be FID-ed over the next couple of years. You look at FPSOs, continued demand strength, and we see 7 to 9 FPSOs per year. And also increasingly, NovaLT. We're seeing an increased interest in the NovaLT turbines with orders possibly doubling versus last year in 2025 with behind the meter solutions for both data centers and oil and gas. And then on the CTS side, again, we continue to see strong order growth led by CTOS emissions management and also the opportunity of clean power. And as we look at 2025 robust pipeline, that supports our $1.4 billion to $1.6 billion of new energy orders for this year. As you look at industrial tech and also the strength in the market continues to recover, and we see overall continued strength across the IET market environment. So feel good about where the midpoint is of $13.5 billion. It would mark the third consecutive year of being ahead of the $13 billion orders. And again, on the GTE side, the $5 billion well in reach. So as we look out to 2030, we've got an addressable market of $150 billion with 70% of that being outside of LNG. So we feel good about the long-term trend within, again, the industrial energy technology order book in 2025, looking for another strong year.
Arun Jayaram: Great. Thanks, Lorenzo. A follow-up. You had an interesting commentary in your deck around the gas turbine market, anticipating the market to more than double by 2030. Lorenzo, your strengths in gas turbines for LNG and oil and gas largely unmatched. But I was wondering if you could highlight what type of inroads are you making in the turbine market outside of oil and gas, thinking about applications in industrial settings as well as power, et cetera.
Lorenzo Simonelli: Yes, Arun, again, we've got a full portfolio of Gas Turbine technology and multi-fuel drivers, which can be used in multiple applications. As you look at the aspect of our NovaLTs and you look at below the 150 megawatts, we've got the opportunity to continue going into the data center, marketplace and providing distributed power solutions behind the meter and also off-grid solutions. And this is an increasing space that we see as an opportunity and we're continuing to enhance our industrial gas turbine lineup and the portfolio that we have. So as you look at in particular, the data center market continuing to grow, we see opportunities going forward in that place. But also, as you look at the aspect of gas processing and pipelines, we continue to need compression as well as also the aspect of power to be able to propel the molecule. So across the board, good opportunities.
Arun Jayaram: Great. Thanks a lot.
Operator: Our next question is going to come from the line of David Anderson with Barclays. Your line is open, please go ahead.
David Anderson : Thank you. How are you doing today, Lorenzo?
Lorenzo Simonelli: Good, Dave.
David Anderson: So a lot of the focus today is going to be on your IET business and the question is the IET business we fully so. But I just want to ask you a question about the OFSE side, specifically around how you see the various components playing out in '25. Overall, you're seeing spending down a bit this year. I would expect the later cycle businesses, including -- you mentioned mature asset solutions, production chemicals to grow alongside with the flexibles. However, the midpoint you guide this year is for OFSE to be down -- on top line down by 4%. So question is really on the mix of the business in OFSE and kind of how it plays out during the year and maybe what some of the puts and takes could be around that guide for the year? Thank you.
Lorenzo Simonelli: Yes, sure. And OFSE is an important part of our business, and we're very pleased with the way in which the margin has progressed and definitely don't want to take away from OFSE by talking about IET all the time. So I think as you look at our prepared remarks, definitely, we do see 2025 slightly lower when compared to 2024. I think you know historically, we've taken a more conservative approach which has proved to us well last year. As you look at North America, we do anticipate spending this year to decrease year-on-year in the mid-single-digit range. A number of operators continue to be focused on capital discipline and they're looking to optimize the newly consolidated acreage that they've got in place. We do expect to outperform the market in this area just because our portfolio is production weighted greater than 50% of what we have is related to the production side. On the international markets, again, we're seeing a flat to down year-on-year. There's the potential overhang of the OPEC+ spec oil capacity some of the changing regimes and also the focus on gas, leading to some reduced activity. Looking at Mexico, Saudi and North Sea expected to remain soft this year, partially offset by Brazil and outside of Saudi Arabia and the Middle East and some sub-Sahara and Africa. But again, as we look at it, we do expect on the international side, flat to down year-on-year. And from an offshore perspective, as we mentioned, we do see that continuing to be positive. And as we go past this 2025, we still feel good about the mature asset solutions in the latter part of the decade and again, continuing to increase our focus on the brownfields and the opportunity to maximize production from existing assets.
Operator: Our next question is going to come from the line of Saurabh Pant with Bank of America. Your line is open, please go ahead.
Saurabh Pant: Hi, thank you. Good morning, Lorenzo and Nancy. Lorenzo, like you discussed, I want to touch on the life cycle aspect of the Gas Tech business. And I know you discussed how Gas Tech Services is outpacing installed capacity growth, which is obviously really impressive, right? And then if I go back to your slide, I think Slide 7 in your deck, Lorenzo, you talked about the four revenue growth accelerators, pricing mix upgrades, digital. If we just think about the next two to three years, Lorenzo, which one of these four should we think would be the most meaningful for Gas Tech Services growth?
Lorenzo Simonelli: Yes, definitely. And again, as we've highlighted, our installed base is expected to grow by at least 20% between now and 2030. And from a revenue standpoint, again, we expect GTS revenue to outpace this growth rate. And it's really on the back of the drivers that you mentioned that we shared on the page. And mix is going to be the biggest driver. It's improving mix as we continue to see an increase in the LNG aspect. And as you look at our installed base for service for LNG, it's going to increase by over 50% through 2030, which is outpacing the overall 20% growth rate. So that mix on the LNG side, as it has high attachment rates is definitely beneficial, and it generates more service revenue over the life of the equipment. Also, the other aspects, pricing, upgrades in digital. We continue to see those having an important factor as well. But mix is the one that is going to be important. And as we go forward, also upgrades is something that we think is poised for increasing. As you saw in the second half of 2024, we had an uptick of 10% year-over-year. And in the fourth quarter, we saw the highest order intake since 2020. So looking favorable there as well.
Operator: And our next question comes from the line of Stephen Gengaro with Stifel. Your line is open, please go ahead.
Stephen Gengaro : Thanks and good afternoon. I guess, over there. So you guys have been obviously very successful on the margin front the last few years. I was curious if you could walk us through the moving pieces to get to the 20% target for OFS this year and on the IET side for 2026?
Nancy Buese: Sure. Good morning. I'll take that one. We are pleased with the progress the teams have made in driving our business transformation. And I would say that self-help initiatives and broader transformation will absolutely continue to be a major driver of the margin improvement as we think about 2025 and even beyond. And in OFSE in particular, as we demonstrated in 2024, we're driving really significant initiatives, just not necessarily related to activity levels. So there's that piece as well, and that's all going to drive margin expansion in coming years. And in 2024, the OFSE margin increased by 1.5 percentage points, and that was really outpacing the revenue growth. And that's what you saw, we generated incremental margins over 100%. So a lot of good work there. I think good evidence that we've been proactively positioning the OFSE portfolio to really remain resilient in what we see as a truly maturing upstream spending cycle, and we continue to be focused on driving consistency, operational excellence and service delivery across that sort of streamlined operating structure that we worked on in 2024. We're also, in addition to that, now rightsizing our structure to match expected activity levels. So when you think about the portfolio plus this work, we really play at the high end of technology, and we're not as much in the highly commoditized range. And as Lorenzo mentioned, our production weighted portfolio provides quite a bit of resiliency in a softer environment. So when our customers think about they're optimizing production from their existing assets, we see more OpEx revenue for ourselves at highly accretive margins. So all of that to say that we are very highly confident in achieving our 20% margin even in the softer upstream spending environment. And the team side OFSE have been doing fantastic work on rightsizing the business and focusing on all the operational excellence components. So all of these structural enhancements will fuel that margin expansion even beyond 2025 as we continue to focus on closing the gap with our peers in OFSE. And then turning to IET, the margin expansion there has been really solid and gaining a lot of momentum. So in 2024, we demonstrated almost 2 percentage points of margin expansion. We will continue to see expansion in 2025 towards that 20% goal, and the guidance implies 18% segment margin working towards 20% in 2026. And so we'll continue to progress. We are on track and a couple of drivers of that is just in GTE. We expect to continue significant volume leverage, coupled with further productivity gains. And we've said previously that our backlog is higher priced than previous. So we will continue to focus in that way, and that will help GTE margins as well. In GTS, we've got new digital offerings and enhanced services solutions, and as Lorenzo mentioned, upgrades and all of that will support margin expansion and we also continue to see better normalization on the aeroderivative supply chain. Another component, as we've talked about in the past, is R&D costs starting to decline, and that's most evident in CTS, but that's going to help drive margin uplift. And then finally, in industrial tech, we are really improving margins there, getting more volume through the factories and better cost absorption. So all of that's contributing to better margins. And we're excited. There's lots of opportunities for expansion, and we remain very confident in our ability to get to the 20% in 2026 and continue to mention that 20% margins are not a final destination. We will continue in both segments to lift our eyes past 2025, past 2026 and improved margins even past the 20% goals.
Lorenzo Simonelli: And Steve, I would just add, I think as you look at 2024 and the progress that's been made on the self-help and we've said a lot of this is down to the execution and also the simplification and the processes that we're working on internally. And on the IET side, considerable amount, about half of it is driven by self-help and on the OFSE side, two-third. So again, focused on the continued process enhancements and positions within the company. And as Nancy mentioned, the 20% is not an end point, it's just a path on the journey.
Operator: And our next question is going to come from the line of Neil Mehta with Goldman Sachs & Co. Your line is open, please go ahead.
Neil Mehta: Yes, good morning, Nancy, Lorenzo, team. A question around capital returns, great to see the dividend bump today. And just your perspective on the right way to return that 60% to 80% back to shareholders here as you think about the dividends versus the buybacks and I think, Lorenzo, Nancy, you definitely talked about leaning into the dividend. So just your latest thoughts there. And then as it relates to capital allocation, maybe you could also touch on M&A. It was a quieter year for M&A activity for Baker Hughes. And what do you think the opportunity set looks like for no transformational M&A but bolt-ons?
Nancy Buese: Yes. Great questions. And we were really pleased with our free cash flow performance in 2024, and we remain committed to our stated goal of returning 60% to 80% of free cash flow to shareholders that will be completely anchored by the dividend and we increased the dividend to show our commitment to the growing profitability of the company. And since the company was formed in 2017, we've returned over $10 billion of dividends and buybacks. So we will continue to maintain that. And we will also remain opportunistic in terms of share repurchases to fulfill that total commitment, which is exactly what we did in 2024. So we raised the dividend in the past four years in a row, and our shareholder return track record remains strong. And in 2025, we will do the same as with the increased dividend and continue to focus on share buyback. So all of that will work towards our commitment of the 60% to 80%. And then we do want to retain some financial flexibility. We've got a very strong balance sheet, and we want to have the ability to be -- be in that position, strong credit ratings and some flexibility as we need it for the business. And then on the M&A question, our philosophy is to do what's always right for shareholders. So we continue to look at our portfolio think about how we optimize and what the composition of that should be as the company continues to grow. So we will always focus on tuck-in M&A and some small tech bets in the new energy space and anything that really will complement our existing technology leadership. So as we think about horizon 2 and 3 between now and 2030, we will always look at places where we need to fill a gap in the portfolio and opportunities for strategic fits with our existing asset base. So we're always on the lookout. But yes, it was acquired in 2024, and we will always have our eyes open for opportunities in 2025 and beyond.
Operator: Our next question is going to come from the line of Scott Gruber with Citigroup. Your line is open, please go ahead.
Scott Gruber : Yes. Good morning, good afternoon. Another one for Nancy. You've maintained the 45% to 50% free cash conversion target for the year. Can you just update us on the puts and takes on the conversion rate? Your margins are getting better. I know you've had initiatives to improve the cash tax rate, and you've discussed R&D and new tech moderating over time. Are there offsets from a work capital perspective that kind of keeps a lid on the convert rate in '25? So more color would be great.
Nancy Buese: Yes, sure. We're very pleased with our free cash flow performance. That's been a major target area for the entire company in 2024, and we're really pleased with that conversion rate of 49%. So that's right in the range of the 45% to 50%. A lot of that is just thinking about our free cash flow processes, our overall performance day-to-day. We're very confident in achieving that range again in 2025. And when I think about some of the big drivers for that, it's really around working capital efficiency. We see so much work we can still do to tighten up our collections process, our inventory turns, and this is a really high priority area for the people inside Baker Hughes. We've spent a lot of time thinking about how we can make every aspect more tight, more profitable, more efficient. So this has been really fun to watch the organization over the past year, and we have much work to do in 2025. So highly confident in that space. The other piece is tax management. So in 2024, we made some really good improvements in our tax rate. And in 2025, we're working to drive cash tax rate and our rate meaningfully lower and we've given guidance around that, and our book rate will come down as well. So lots of effort in everything around our working capital and free cash flow. And then another driver is really structurally higher margins. And so that margin improvement is going to flow through and you're going to see overall free cash flow continue to move. So we're very confident about -- through our path to consistently achieve 50% of free cash flow conversion as we really think going forward about working capital efficiency and the tax side. So lots of efforts made great progress in 2024, and there's more to come in 2025 for sure.
Operator: Our next question comes from the line of Kurt Hallead with Benchmark. Your line is open, please go ahead.
Kurt Hallead : Happy Friday, everybody and appreciate making some time for me here. Lorenzo, big picture, kind of question for you, right? You've outlined a very compelling story for obviously the IET growth dynamics, not only through 2030, but it looks like it extends out beyond that, when you start to talk about your increased installed base and aftermarket services. So given the moderating growth rates in Oilfield Services, without putting a hard number around it, you happen to have a feeling here about whether or not the IET business could wind up being at least half, if not more, of your business mix as you get closer to 2030?
Lorenzo Simonelli: Kurt, good to hear from you. And look, as we stated, our strategy is to continue to grow Baker Hughes in totality. And from a percentage standpoint of the two segments over time, IET will grow as the market and the addressable market is considerable, and we've got the opportunity to continue to move into new spaces. And the mix will change. Again, we don't have any final destination in mind, both of the business units are critically important and actually share a lot of the capabilities together and also customers together. And so that's why we think we're in a unique opportunity and like the way in which the portfolio is structured to the point of overall mix, yes, you'll see the element of IET as we continue to grow from a percentage standpoint, be a larger portion of Baker Hughes. Great. I think we're coming to time.
Operator: That was our last question, and I would like to hand the conference back over to Lorenzo Simonelli, Chairman and Chief Executive Officer, for his concluding remarks.
Lorenzo Simonelli: Thank you very much, and thanks to everybody for joining us and taking the time on today's earnings call, and I look forward to speaking again with you all soon. Operator, you may close out the call.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program, and you may now disconnect. Everyone, have a great day.